Operator: Hello and welcome to the Dynegy Incorporated First Quarter 2008 Financial Results Teleconference Call. At the request of Dynegy, this conference is being recorded for instant replay purposes. Please note that all lines will be in a listen-only mode until the question-and-answer portion of today's call. [Operator Instructions]. I would now like to turn the conference over to Ms. Norelle Lundy, Vice President of Investor and Public Relations. Ma'am, you may begin.
Norelle V. Lundy: Good morning everyone and welcome to Dynegy's investor conference call and webcast covering the company's first quarter 2008 results. And is our customary practice before we begin this morning, I would like to remind you that our call will include statements reflecting assumptions, expectations, projections, intentions overly about future events, particularly with respect to our growth strategy in 2008 estimates. These and other statements not relating strictly to historical or current facts are intended as forward-looking statements. Actual results may vary materially from those expressed or implied in any forward-looking statements. For a discussion of the factors that may cause such a variance, I would direct you to the forward-looking statements legend contained in today's news release and in our SEC filings which are available free of charge through our website at dynegy.com. With that I will now turn it over to our Chairman, President, and CEO, Bruce Williamson.
Bruce A. Williamson: Good morning and thank you for joining us. Here with me this morning are Holli Nichols, our Chief Financial Officer along with several other members of our management team. Let's now turn to the agenda for our call which is highlighted on slide 3, for those of you following along online via the webcast. I'll begin this morning by discussing some market trends that are driving power prices in our operating regions. I will then review our advantageous delivered coal cost position which I know some of you are very interested in and I will also discuss a longer term set of energy policy issues that the country is going to need to address and how they too are impacting forward energy price trends. Holli will provide our first quarter financial results, discuss performance drivers that impacted the quarter, and update our 2008 guidance. I will then close with a few remarks and then we will go to Q&A. Please turn to slide 4, as we are discussing the first quarter results I want to introduce an important thing that is creating a significant impact on the U.S. energy electricity market. Today we see two mega trends if you will global competition for energy and rising barriers to entry which are colliding with what looks likes a constant rising U.S. energy consumption. Global competition for energy means that like never before Americans are faced with the realities of a global economy and how global forces of supply and demand come home to the gas tank, the furnace burner tip and now driven by these rising fuel cost to the electric light switch. Simply put the higher commodity price for oil, natural gas, and now even eastern coal although we don't burn it in significant amounts are looking as if they are going to set higher and higher power prices going forward. Rising barriers to entry means that we are seeing a dramatic slowing of new power plant development due to accommodation of environmental issues and related concerns. Rising construction cost and availability of new plant equipment also from global demand by the way and most recently the current state of debt capital markets which is limiting financing opportunities for more thinly capitalized independent project developers. The slowing of development will likely put additional upward pressure on power prices as demand continues to grow in our regions which in turn should drive up the valuation of under the ground operating assets. These two mega trends are colliding with essentially continued year-over-year growth in U.S. electric demand. Many of you have asked about the impact of a recession on our industry. The short answer is we don't expect to see a significant decrease in demand for power or change in the supply demand balance. Instead overtime we expect to see a continuation of the steady growth in demand supported by historical demand data as seen on the chart at the bottom of this slide. Let's now see how these three forces are impacting forward prices and how we are positioned relative to these rising power prices. Please turn to slide 5. As I just mentioned markets are entering a period of higher power prices and we believe this trend is going to continue for some time given the mega trend fundamentals. As you can see in the chart at the top of this slide, 2009 forward prices in the CIN Hub region show dramatic increases over the past 12 months. We have talked for several years about our commercial strategy here at Dynegy in what is an inherently commodity cyclical industry. When we set this strategy, we look to other commodity cyclical industries and markets and set up both our commercials strategy and our balance sheet in terms of what has stood the test of time in the energy business. We often talk to investors about commercializing our assets on a current plus one and in some cases two year basis off of our base load Midwest and Northeast assets due to the characteristics of these portfolios. We believe this strategy positions us particularly well to participate in the anticipated rise in power prices in 2009 and beyond and harvest the optionally for our investors through our disciplined execution. As I said our strategy is to sell the current year plus one and in some cases two additional years off of these base load facilities, as we are in 2008, that is the current year, and 2009 is the plus one year. Going into 2008 on January 1st approximately 50% to 65% of our margins were contracted. The first quarter is now closed so that is obviously 100% contracted and we have executed additional commercial activities for the current year resulting in a 2008 which is now nearly fully contracted. Our other primary focus is the plus one year or 2009. We are now actively commercializing 2009 to take advantage of the significantly higher pricing we are seeing. I believe this sort of disciplined execution is key to our investors. Its one thing for us to create the option, it is now up to us to capture value through it. That opportunity is now clearly in front of us and we are executing on it. We know that no strategy can capture 100% of the peaks, our focus is to capture opportunities for short and medium term value while looking forward at the longer term fundamentals. So our more open strategy are deep in the money base load plants and our low cost position should allow us to extract value as demand continues to increase and supply remains relatively stable while other companies in the sector with long-term hedge positions will not be enjoying these rising price levels. Let's now talk about a key cost component, coal which has been a hot topic in the sector of late. With our coal fleet we are well positioned to capture margin benefits from this anticipated rising coal pricing environment. We have strategic contracts that significantly lessen our exposure to the volatility of the spot coal market. These contracts are meant to ensure adequate and affordable supply of fuel to run our plants, this yield a significant competitive advantage for our fleet and for our investors. Here are several of other competitive advantages of our Midwest coal fleet. First, our Midwest base load fleet uses 100% Powder River Basin coal which has not seen the dramatic price increases that Eastern coal has experienced driven by export demand from the global market. Second, the majority of our Midwest coal assets are fixed through 2010 and while we are working through our contract re-openers and caps because of our lettered contracting position and some embedded price gaps we expect our future coal cost to be consistent with our historic price increases of perhaps a dime or so per MMBtu over the next few years. Third, and perhaps most unique to Dynegy, 100% of our rail transportation cost is contracted at fix price through 2013. For 2008, the delivered price at our Baldwin facility, a benchmark for our Midwest fleet is expected to be approximately $1.39 per MMBtu. As you can see on the graph, our delivered coal cost has been very stable and has significant cost advantages providing a unique value opportunity for Dynegy. Now looking at the bottom chart, you can see market implied heat rates in our operating regions. This is another example of striking a balance between forward markets quotes and looking at real fundamentals given that we operate real assets in the marketplace. Forward market implied heat rates have compressed recently as natural gas has run up sharply. We believe this compression is driven more by the run up in natural gas prices and does not reflect market fundamentals. Due to the unique characteristics of electricity, particularly the inability to store it, electricity tends to respond within the year or so when it is actually manufactured. Again, this is fully in line and validates our shorter-term more open commercial strategy of current plus one. In short, as we get into the shorter term, we fully expect heat rates to expand as supply and demand tightens which should benefit our entire operating fleet. When we experience heat rate expansion, we see significant gas... significant gas fleet benefiting from increased run times and our coal assets benefiting from higher prices as well in the hot summer months or peak periods when gas is a factor in setting Midwest prices. In summary, the continuation of these market trends and the resulting forward price signals coupled with our current plus one or in some cases plus two commercial strategies, provide us with opportunities that overtime should produce higher margins, sales volumes, and economic results for our investors. Please turn to slide 6. The leading issues facing our sector and one of the most important for the U.S. economy as a whole is our country's energy policy. I would like to focus on power today as a subset of that policy. We see energy policy as creating a two fold impact. The first is increased pricing in our markets and second, the lack of leadership on power industry issues have introduced an element of uncertainty to some investors who might otherwise be interested in investing in the power sector. Today new investments in our power infrastructure have all been sidelined by uncertainties ranging from the impact of future environmental regulations to the disorder that has struck U.S. capital markets. To ensure reliable electricity we need real federal leadership on energy policy and we believe the focus should be on three critical interrelated elements, the environment, the economy which in this context means affordable reliable supply of electricity for consumers and businesses, and lastly our country's dependence on foreign fuels. Successful U.S. energy policy must be a balancing act among these three often competing factors. The focus on one element without considering the impact on the others puts our country and the American people at significant risk from one or two of the other elements. Regarding the environment, the power generation industry has the technologies, know how, and experience to deal with the traditional pollutants of SO2, NOX, mercury, and particulates. At Dynegy we are dealing with these pollutants in a market leading way. We were the first company in the U.S to address these pollutants on a fleet wide basis through a consent decree rather than fight with the EPA and state regulators over new source review on a plant by plant basis. At the same time we also embraced the additional mercury standards in Illinois as part of the system wide settlement. We did it because it was simply the right thing to do to strike a balance between the environment, our communities, our investors, and our responsibility to serve the markets. Our country needs to make similar steps this strike a balance and lead on these global issues. Our country faces a challenge on how to deal with the carbon issues now responsibly. We should consider conventional technologies with the advanced emission controls as a bridge to the future until options such as carbon capturing and sequestration become commercially proven. As a country and as a company we need to invest in renewable resources of electricity but we should recognize that such options as wind and solar don't always produce power when it is needed most by consumers. And black outs and burns outs are not an option if we are to remain competitive in term of our economy and in serving households across the country. Another environmental consideration is the need for national regulation for dealing with climate change. It will be failure of the federal government if we end with a patch work of state and regional initiatives that could favor parts of the U.S. and create economic disadvantages to others. We are already in a global competition for energy and we do not need a state versus state or region versus region competition for energy supplies. In terms of U.S. energy dependence our leaders in Washington need to keep in mind that we are participating in a dynamic global competition for these energy commodities. Given the barriers to entry in the state of U.S. capital markets it is extremely difficult to invest in our own country's power infrastructure. It is safe to say that very few new coal fired units will break ground in the next several years unless they already have started their construction and IBBC contracts and equipment committed to them already. At the same time our countries are bringing new... other countries are bringing new coal plants online at a very rapid pace and in many cases they are importing our U.S. coal to generate this electricity. These countries are also buying up turbines and generators and other key equipment to build these plants limiting the availability and driving up the cost of equipment here in the U.S. Our leadership needs to take a common sense approach that encourages investments in own power infrastructures while lessening our dependence on imported energy commodities. We do not need a policy where we go so far as to export our own continent's native energy resources to fuel other continents energy needs and import more and more fuel for our own use. At the company level and I believe at the national level, the best course is a strategy of a balanced portfolio that uses a wide range of technologies and fuels. This has driven our focus at Dynegy on fuel diversity with an operating portfolio that is now approximately 70% natural gas fired with development options that include gas proposals, advanced low emission coals, as well as renewables. As the country works through this difficult issue, Dynegy remains committed to being part of the solution to address the country's future power needs. We will focus our strategies on operating reliably to manufacture as many megawatts as possible when people need these megawatts and to commercialize these sales in our current plus one or two strategy. Finally we will seek to deliver our optionally for our investors while tightly managing our cost structure. With that I will turn it over to Holli to cover our first quarter results.
Holli C. Nichols: Thanks Bruce. Please turn to slide 8. Before I begin, I'd like to point out that this presentation does contain non-GAAP measures that are reconciled in the appendix of this presentation. These include EBITDA and the new financial measures that were introduced in this quarter mainly adjusted EBITDA, adjusted cash flow from operations, and adjusted free cash flow. We are providing these new measures for a couple of reasons, first this is how management looks at the performance of our operating assets and from there makes decisions regarding our operations and commercial strategies. Second, we are sharing these measures in response to input from investors, analysts, and journalists. Based on your recommendations we took a fresh look at our stakeholder communications and the measures we used to describe our financial results as well as our guidance. This additional information is meant to add more clarity to our investor communications by highlighting the performance of our operating assets on an ongoing basis. Specifically we will be resigned to adjusted EBITDA which is EBITDA adjusted for significant items such as discontinued operations, legal charges, and gains or losses on asset sales, as well as the impact of mark-to-market changes in value from our generation business. We are adjusting for these items because we generally don't consider them to be representatives of our operating results. First, we are referring to adjusted cash flow from operations which is cash flow from operations excluding cash payments on significant items and adjusted free cash flow which is adjusted cash flows from operations less maintenance and environmental capital expenditures. We believe that the additional information we are providing is a better approach for analyzing the value produced by our operating assets. This approach is also consistent with what the rest of our industry uses, which should increase the comparability of our results. More detail on what's included in these measures can be found in the schedules accompanying today's news release and the appendix of this presentation which also includes reconciliations to the most relevant GAAP financial measures. Now let's look at our first quarter highlights, adjusted EBITDA was $238 million for the first quarter of '08 compared to $181 million for the first quarter of '07. The primary reconciling items between first quarter 2008 EBITDA and adjusted EBITDA were substantial mark-to-market losses related to certain forward power sales. The majority relates to 2008 positions where market prices at the end of the first quarter significantly exceeded prices at the beginning of the period resulting in negative marks in the first quarter. Another 30% increase in adjusted EBITDA period over period resulted from higher prices and higher volumes primarily attributable to the operating assets we acquired in 2007. These prices and volumes were partially offset by decreased power spreads in the Northeast and two forced outages in the Midwest. Adjusted cash flows from operations was $165 million for the first quarter of '08 compared to $37 million in the first quarter of '07 and adjusted free cash flow for the first quarter of '08 was 99 million. As you can see our capital and liquidity measures remain strong with liquidity at $1.5 billion at the end of the quarter. I would also highlight that our cash on hand reflects the completion of the sale of Calcasieu Peaking facility for net proceeds of $56 million. Please turn to slide 9, due to period over period comparison of adjusted EBITDA, adjusted cash flow from operations, and adjusted free cash flow. Our first quarter 2008, adjusted EBITDA was up approximately 30% period over period, adjusted cash flows from operations was up three folds, and adjusted free cash flow was up materially as well. So, it is a strong cash flow quarter which can be attributed to the addition of the assets we acquired in April '07 as well as favorable changes in working capital. If you may recall we had incremental investments in working capital year end 2007, which reduced our overall cash flow to operations for the year. And what we saw in the first quarter of this year was some of those coming back. Which will happen overtime as we go through cycles with commodity prices or generation volumes or inventory movements. There are certain changes in working capital that can't be actively managed such as changing prices which impact net AR AP [ph] balances and lead to either an increase or decrease in the amounts invested in working capital. Within their other items that can and should be actively managed. As Bruce just mentioned, we continued to maintain a healthy focus on our cost structure. Into this end I am currently leading two organizational initiatives, the first focus on G&A and the second around working capital. While we believe we have one of the lowest G&A cost structure in the industry, we'll continue to drive down cost while we can. Now on the same note, we're focused on keeping our investment in working capital down to minimum levels without jeopardizing reliable operations. Let's move onto the discussion of our performance drivers for the quarter by segment. Please turn to slide 10. In the first quarter 2008, we continued to focus on operating reliably and safely, produce electricity and maximizing the commercial opportunities around our diverse fleet. In the Midwest adjusted EBITDA was up from about $160 million in '07, to $190 million in '08. The additional of Kendall and Ontelaunee facilities contribute to the improvement in earnings as did higher prices period-over-period. Also note that despite colder weather MISO volumes were essentially flat due to lower end market availability of 82% resulting from unplanned outages at two of our plants. Teams worked diligently to get units back on line and safely and quickly to serve our markets, but the net result was the missed opportunity cost. The first quarter was fairly below our target IMA but for full year, we believe we can still achieve end market availability of 90% from Midwest coal fleet. Turning to the west, adjusted EBITDA was $20 million for the first quarter of '08 driven by the contribution of our six new assets. While these assets are substantially hedged for the near term improved spot spreads present in the region are indicative of strong regional market condition. Meanwhile, Northeast, adjusted EBITDA was actually down from $60 million last year to just over $40 million for the current quarter. And favorable winter weather and lower spot spreads resulted in decreased volumes at three legacy plants in the Northeast, and this decrease was partially offset by the addition of two facilities leaving volumes essentially flat. For information on our segment performance during the first quarter we have included more detail in the appendix. But before moving on, I'd like to highlight our strong safety performance across the entire fleet. This is actually one of the strongest quarters ever in terms of safety. Please turn to slide 11. Just I will walk you through our original 2008 estimate how we use our new adjusted financial measures. In December we provided a 2008 EBITDA estimated at $1.1 billion and this excluded $40 million of mark-to-market settlements that were anticipated to occur in 2008. Had we provided an adjusted EBITDA estimate for 2008 at that time it would have been $1.06 billion. We updated guidance from February 27 and had we provided an adjusted EBITDA estimate at that time it would have been 1.04 billion to adjust for a $20 million decrease in interest income due to the declining interest rates. This $1.04 billion estimate remains unchanged today. Let's turn to slide 12 to discuss our current 2008 estimate. For the current 2008 gas drip exceeds $10 per MMBTU versus was the 18.18 in our last update. We will fully realize the benefit of the increase in our 2008 earnings. Going into '08 approximately 50 to 65% of our margin was hedged and over the course of the first quarter we continue to step forward into the strong commodity price environment and almost all our output for 2008 has now been contracted. The advantage we were to capture in this rising price environment are being offset by few items that results in our estimate for the year being unchanged. First is the outages I mentioned earlier in the Midwest. And the second item relates to greater than anticipated basis differential in CIN Hub. This resulted from higher than expected transmission cost between the market hub and the actual delivery point of power. On a full year basis we are maintaining our estimate of adjusted EBITDA of $1.04 billion, adjusted cash flow from operations of $595 million and adjusted free cash flow of $185 million. Before I turn you back over to Bruce I would reiterate his earlier comments about 2009. While 2008 has effectively been commercialized, we are very active in 2009 and we are executing at forward prices which should drive a continued improvement in adjusted EBITDA. With that I will turn it back over to Bruce.
Bruce A. Williamson: Thank you, Holli. Please turn to slide 14 for few wrap up comments before the Q&A. As we have discussed this morning our focus is on leveraging our unique strength to seize opportunities in the tightening electricity markets and capture value for our investors. In terms of market drivers global competition is pushing up energy prices including oil, gas, coal and electricity. In the power sector we are seeing increased barriers to entry to limit new supply while our electricity demand continues to increase. Now let's turn to Dynegy's specific strength and the factors that allow us to create value, manage risk and differentiate ourselves from our competitors. Our singular focus is on power generation and we are committed to never losing sight of our core business and our focus on operational excellence. We have one of the most geographically diverse fleet positions to capitalize on demand and key regions around the country. With our Midwest base load fleet we are managing the rising price of fuel through key coal and rail contracts. In short the rising price of coal is not impacting us significantly. In addition 70% of our portfolio is natural gas which positions us to participate in the expected future heat rate expansion in the U.S. Next phase is our strategy to maximize commercial opportunities around this diverse fleet. Our commercial strategy of selling the current year plus one or in some cases two additional years positions us to participate in a significant rise in power prices in 2009 and beyond. These strengths plus our ample liquidity and a flexible balance sheet contribute to an organization with strong operational focus and proven capabilities. We are prepared to use this platform to capture values for our investors in the tightening environment. Many of you know I like to focus the company around a few deliverables. A year ago we had three goals for the company on the back of the acquisition that we made in early 2007 and we delivered on every one of them including refinancing the balance sheet ahead of the market turmoil that we have now seen. We set up Dynegy's commercial strategy which now looks like it's very well positioned given how the market is shaping up. This year our top level strategic focus is much more simple. It is operate well and commercialize well. These goals may not sound as dramatic as last year when we said we would sell off non-core assets, refinance the complex and restrict the balance sheet of the assets that we had acquired and integrate and acquisition rapidly. But these two simple goals are truly key to ensuring that we manufacture as many megawatts as possible when the market demand is there and that we capture strong prices for these megawatts for our investors thereby monetizing the optionality that we have created. And I believe we have an experienced dedicated management team with the proven ability to execute and deliver that to you. With that we will move to the question-and-answer portion of the presentation. Kelly, we will take the first call now. Question And Answer
Operator: [Operator Instructions]. Our first question comes from Dan Eggers from Credit Suisse. Your line is open.
Daniel Eggers: Hi, good morning.
Bruce A. Williamson: Hi, Dan.
Daniel Eggers: Can you guys just remind me again how you are going about structuring hedge, particularly for '08, more for '09. If you are able to sell power forward or are you selling gas and how are you guys thinking about managing heat risk given some of the backwardation we have seen.
Bruce A. Williamson: Well, I will comment on it a little bit and then I will turn it over to may to Lynn and Jason, I mean in general we have got a map set up of what is the asset and what region is it in. For example in the most simple way in the Midwest we highlighted on one of the slides, Cinergy Hub, which is a liquid point so we use that and we will be selling that in the Midwest. We would not be using like natural gas as a dirty hedge or a proxy hedge for the Midwest. If we are looking at things out in other regions we are going to run into as we get out of Midwest, we have got gas-fired assets, so we would there be looking at both selling the power as well as buying fuel to match up so we have got it spread by across the plant if you will. So in essence it was... one part of the question is are we basically just hitting the gas market, the answer is no, we will be hitting the power market and working both for match up with fuel and Jason is going to add to ...
Jason A. Hochberg: Yeah, No, I'd echo those thoughts that most of the hedging is done using liquid products. We also have the team of folk's originators that are out looking for more physical type deals and also looking on the combined cycles for spread type transactions where you are selling the power they talk of a liquid point and you settling against a liquid point on the gas side of things as well. So that's how we are doing it and yes about heat rates we are being very selective in terms of layering in positions going forward because the heat rates have come down but as some point, on absolute price on the coal fleet can be particularly attractive.
Daniel Eggers: So you are comfortable hedging even with the backwardation and the heat rates at this point in time because this business not attractive in the power of that [ph].
Bruce A. Williamson: Yeah, that's how take it Dan, as Jason said at some point even though you are saying that the heat rates looks compressed we look more in that instance HSB out rate power price in just talk it that is still a good power prices to be selling our output at. And looking at it at more from that I guess you would say there are more simple way at looking at things and then you can obviously take other positions on the heat rate if you want to give it more of... incorporating the heat rates there as well. And then the other the backwardation is also dramatic the further out on the curve you go so its fair to say...
Bruce A. Williamson: Helps to avoid that backwardation
Jason A. Hochberg: It's fair to say that a lot of focus is on what is '09 and '10 and '11 we did the backwardation on the gas curve and some heat rate curves, it is not necessary most attractive thing at this time. So account was even...?
Bruce A. Williamson: That's the key point, I mean you get out further on the curve, you got several things that we think go against selling long term and one is that additional backwardation, the other is you get more and more end I would call the risk averse portion of the curve where the price is just coming down.
Daniel Eggers: I think you have expanded the term you are + two, the + two is going to be very [indiscernible]. How do we actually get it on?
Bruce A. Williamson: It will be very selective.
Daniel Eggers: Okay.
Bruce A. Williamson: The main focus on... we have traditionally referred with current + one, we will take a look at it at the second year or the + two year on occasion, but its going to be on a very, very selective basis.
Daniel Eggers: All right, thank you guys.
Bruce A. Williamson: All right.
Operator: Lasan Johong from RBC Capital Markets, your line is open.
Lasan Johong: Good morning, Hi, Bruce.
Bruce A. Williamson: How are you? Hi, buddy.
Lasan Johong: Can you give us a sense of the 1200 megawatts that's rolling off at the end of this month so was contracted around $65 around the clock, all services in, what can you talk about how you re-contracted those amounts for the balance of this year in '09?
Bruce A. Williamson: I mean, we... If you look at round the clock pricing for '08 and '09 kind of the base load only piece of that is approaching the $60 range and that doesn't include any of the load shaping and other products that are involved with that, so we are seeing currently what we are seeing in the forward markets is that prices are well exceeding that as of this current time.
Lasan Johong: So if in other words give just to be clear for people lets maybe... I mean we are in the front of 65 that was a around the clock delivered shaped product and when you say 60 you are just up in the non-peak portion.
Bruce A. Williamson: Well 60 is around the clock fixed price energy only versus the product that were sold in the auction including load shaping and other ancillary services in there, so when you break out the parts and you do a some of the parts you would sell... you been selling that at a higher price today.
Lasan Johong: So if I remember correctly I think at the time you said just the energy pieces around the high forties correct at the time.
Unidentified Company Representative: At that time.
Bruce A. Williamson: At that time and that's moved now in to approaching 60.
Lasan Johong: Okay so in clearly we should realize at least a $12 around numbers, $12 or more against the 65 that you locked in just from the energy price increase. Correct?
Bruce A. Williamson: I think its fair to say directionally you are right but there is pluses and minuses because they are megawatts you need the whole back but I think you are in a directionally the right place.
Lasan Johong: Okay that's good. On the back of the appendix it looks like you guys are guiding to $0.13 - $0.20 in terms of earnings and I hate to talk about earnings but kind of give me a sense of what could move the needle below 13 and above 20 for '08.
Bruce A. Williamson: Well the biggest thing I think would be mark-to-market.
Lasan Johong: No, other than... I am talking about operation and real money not this fake stuff.
Bruce A. Williamson: Thank you for bringing that up and I particularly liked the headlines that we got this morning that with the surging power prices we broke law so I hope that follows... everybody understands the irrationality of GAAP accounting today. So I have just been getting the accounts a hard time this morning. I think Lasan to record your question, I mean setting aside mark-to-market the biggest think would be operations performance for here forward. Our in-market availability. In Holli's comments she touched on during the first quarter we did have two forced outages that were obviously as forced outages are unplanned, one involved the cooling tower at one of the Midwest plants and the other involved loading [ph] at one of the Midwest plants that need some... to be taken out and actually taken out of the unit and be repaired. So the operating team is going to be key going forward for the rest of this year in terms of okay have we done all the spring outages done and while we were doing that have we gone through all the units, done all the required maintenance, have we done the preventatives and the predictives and are those plants up and online in the market all through the rest of this year. That's probably the single biggest driver for us.
Lasan Johong: So can I then assume that Roseton is running at zero in your projections and you West Coast fleet is just doing what it needs to do based on the contracts and nothing more.
Bruce A. Williamson: Correct.
Lasan Johong: So there's upside to the West Coast numbers to Roseton and to operational performance.
Bruce A. Williamson: Yes to the West Coast because we have contracts where we sold this summer and things like that, I guess I would if I had the handicap in the order in which you just said I would say less so, obviously Roseton is always got an upside potential and it can be significant and has been at times but we are going to assume at this point with $120 crude oil, if not running on OLs fuel any times The other element of upside is in the Northeast in the three combined cycled units, those are not fully contracted so, if we see widening of spot spreads you will see increased contribution.
Lasan Johong: Just around numbers, kind of... does it all add up general upside potential?
Bruce A. Williamson: Lasan we gave our guidance and we are going to stick with that guidance and we will have to see how the summer heat and everything shapes up. Our main focus will be that something that's really in many ways is beyond our control so what we have our focus in the company right now on what's was in our control it really falls through Lynn from the P&L responsibility and then with Rich and Keith and the people on the operating side and Dan and rest of them is on getting the plants maintained so that we are in the market for the rest of this year.
Lasan Johong: Okay.
Bruce A. Williamson: And the first thing would be when we... if would have a weather event like what you are saying and we could see those plans for example the Northeast lands including Roseton and get some runtime but then the plants were down that's going to be an opportunity lost. So we are going to focus our average around making sure the plants are maintained and ready to go so that if we are fortunate enough to have events like what are saying then that could be added to this.
Lasan Johong: Okay and any update from last conference call on what you plan to do with the ongoing free cash flow Rich man's problem?
Bruce A. Williamson: Well as we have said many times with investors as have gone around with you on our East coast trip and in the most recent Midwest trip and the various conferences, right now we like the fact that we have high class problem of having free cash flow and a significant cash balance. We want to get through this year, deliver that free cash flow so that it is been created not so much from the assets sale that we had when we came into the year but actually come from the operation of the business. Also during '08 we will have commercialized a big chunk of that plus one year that we keep talking about 2009 and will get... have a better look at the U.S. economy and the energy demand and energy prices and probably a little bit of a peek at potential legislation and where we are going to head on energy policy in the country. And then having that cash on hand I think we will able to then deal with capital allocation as how we call it on a go forward basis in a long lasting manner then be talking about something too soon and then maybe have something unforeseen have to pull back on I think there is some others on our sector had to pull back on their shareholder return activities and if we move forward with something or when we do we want to just move forward with it and have it be a continuing program.
Lasan Johong: One last question, how much are you hedged in '09 roughly speaking.
Bruce A. Williamson: We have always given our guidance out one year we will do that toward the end of the year I would direct you to the Q where we put some dialog in, in the outlook section and that was filed this morning or will be filed this afternoon and we would as we said, we came into this year at 50 to 60% 65 I think it was, if we went back to the year earlier we were around 50% the year before that we were around a third. So as power prices move up we think that we reached points where we see prices that we would just say that's good enough and we should go ahead and capture that for our investor I mean in affect we have created the option and now we need in effect exercise the option at different points in time.
Lasan Johong: Thank you,
Bruce A. Williamson: Okay.
Operator: Shalini Mahajan with UBS your line is open.
Shalini Mahajan: Thank you.
Bruce A. Williamson: Hi, good morning,
Shalini Mahajan: Good morning, my system is trying to understand your guidance is flat versus what it was end of December and you went into ''08 50 to 65% hedged on a natural gas prices that moved up $2, just curious to know was it the first quarter that was the low plan, and if so by how much.
Bruce A. Williamson: I think the main driver is, as we came end of the year we had a rise in call it gas prices which then is translated through into the power price but it came relatively late in the winter. And really came when the gaps in storage were sort of used up with the length of the winter and the amount of... and ultimately that gaps... that storage being used up backed down to the five year averages that's ultimately what then started to tip the gas price over which then drives the power prices. We go through that quarter, we would be looking at our current year saying, okay are we at price levels which are good enough to... are they inline with our guidance and inline with earnings and cash flow expectations that we would be exercising on that as we go through the quarter and a continued run up obviously you can't forecast everything as I said in my comments we can't tell you we are going to hit the peaks a 100% of the time. But when we reach price levels that we would say are attractive relative to shareholder expectations we are going to go ahead and exercise on them.
Shalini Mahajan: Looking at slide 20 when you give some mark-to-market positions and it seems there is about $215 million that left on the table for '08 because of the hedges you had in place and your earlier comments were all pointing towards both a tightening power market and a rising commodity environment. So I am not exactly clear why wouldn't you want to be more open as years would roll by versus increasing your hedges year-after-year so if you could just give some color on that.
Bruce A. Williamson: Well, I think we need to exercise our commercial activities, it's a bit of striking the balance between making the spell if you want to call it that in that current year plus one type of arrangement the structure of the markets generally has not been conducive to some one just saying lets go ahead and write everything to the day ahead market or some thing like that. So when we talk about open in the sector right now I think open is a relative term I think open means I am not selling in 2008 the plus 5 or 6 year of 2013 or 2014 because that's too far out that horizon and the market fundamentals to me look like they are clearly going to be rising so I would sell those years or 12 or 11 possibly not 10 unless we got a very attractive price, but 2009 that is close enough the end where we are starting to see that tightening and see the run up in prices and we see as Jason made in his comments to Dan's question we see attractive prices that we think we should go ahead and execute on. So I think the open is a relative term its sort is looking out in that kind of 12 to 18 months time horizon and saying that, that's a good commercialization window for a power producer.
Shalini Mahajan: Okay.
Bruce A. Williamson: And Jason you wan to add anything?
Jason A. Hochberg: Yeah no I would just add that when once you get into the enter year, your biggest factor is going to be your weather and there is just a ton of volatility around it and the fact that you take this mark-to-market pricing because of the accounting rules that's as of today. That doesn't mean you could have a mild summer or power prices don't as high and a lot of that gets reversed. So its just a snapshot of the positions you have in place at that point in time and I think as Bruce mentioned that taking a very significant amount of megawatts through daily's or the weekly's is a very, very risky strategy, overall because you can see this number reversed or doubled to the downside as well. So the best thing that you can do is look at where your targets are and what that means for the company and look at that and we still have some exposure to some upside as was discussed in the last question but you never going to be able to capture exactly a 100%, the peak of the market. And again this number doesn't necessarily mean that's what you would get in the dailies. Like if you look at the daily pricing there you saw in synergy it's... which was about $67 or so on the on peak. That's actually right on top of the guidance that we gave in for our when we put together our plan and then Holli also touched on a couple of other things, well gas prices are up. Heat rates, the gas prices have positive effects, Heat rates are down, that has a negative effect and then we had some outages and in the like as well that has contributed to some of the upside that you might see.
Bruce A. Williamson: And I think last thing I would say, we also look at the type of assets that we have and I think we have talked a little bit in meetings with you and your team, I will use California as an example. That's a regional that we operate in, that is very high growth dependent or high growth dominated and we can have a low cost well positioned assets but if they have a very heavy snow pack like they do out west, if they have a cool spring and they don't have co-incident heat in the northern and southern California. You can see California, no matter how good your heat rate is, you can see your run times come down and your prices come down. So that's where we look at the type of asset in the region and we are going to make that kind of... call it a little more tactical decision looking out of year or two on occasion if it is a riskier asset like California maybe a year or two or three and go ahead and just pay a forward price and say that's good enough for our investors and bring that into the book. We are really managing the business around cash flow at the end of the day and that's were we are looking at.
Operator: Please limit your questions to one per person. Brian Chin with Citi, your line is open.
Brian Chin: Hi, on page 12 you talked about how you there was a greater than anticipated basis differentials at CIN Hub, can you give us little bit more color on that and do you expect that wider basis differentials persists for the remainder of the year and may be in the next year.
Bruce A. Williamson: Let me refer that to either Lynn or Jason.
Lynn A. Lednicky: Yeah, we did see a higher basis differentials that's been a trends that's ongoing we have done certain things to manage the exposure that we have there, hard to say what the longer term trend will be, it just reflects changes in the supply balance and the demand balance there. So all in all we think its something that's manageable through either being active in the financial transmission light market or Jason may comments about the origination activities that we have where we can focus on physical delivery as supposed to some of the financial delivery it better their. Its not uncommon for basis to move around across time so it is some thing that we are watching but we think is manageable going forward.
Brian Chin: And how much of this off set was due to the basis differentials versus unfavorable weather and outages. Can you give us a rough sense?
Bruce A. Williamson: Well we have a broken down and in all of the pieces there, I mean first of all what we know from the first quarter is that the outages obviously created a lost [ph] opportunity and that was we probably to measure things for the first quarter. The basis differential was very modest. As we look forward we don't expect to have the outage problems and it's little more speculative as to what the basis differentials is going to be on a go forward basis. So we have to just watch that and see as it develops.
Brian Chin: Okay and I promise this is my last one so basically what you are saying on the slide 12.
Bruce A. Williamson: You just have one last question.
Brian Chin: Okay, basically what you are saying on the slide 12 is had you not had these outages in the basis differential the guidance would have been higher for ''08, outages and weather are obviously one time and the basis differentials are relatively minor factor but you can't really anticipate where that's going to go.
Bruce A. Williamson: Yeah that's a good way to put it.
Brian Chin: Right, thanks.
Bruce A. Williamson: All right.
Operator: Andy Smith of J.P. Morgan your line is open.
Andrew Smith: Hey, good morning guys.
Holli C. Nichols: Good morning.
Andrew Smith: Hey I have that one question in 13 parts. Couple of things I want to get some color on from you guys as well. I apologize if I missed this, I got on the call a little late, but you mentioned how you are seeing eastern coal set pricing in Illinois in some hours, while you guys are burning PRB, to what extent are you seeing that real time versus to what extent are you anticipating that to start to materialize as we have seen spot prices move given the what we hear from the industry is that most coal procurements is done under long term contract?
Bruce A. Williamson: Yeah, I think it's pretty hard to dissect that with much granularity. I mean we can talk about the general trends. We don't know at any given hour exactly which plant sets the marginal cost and that's not terribly important to us. I mean we know what our cost structure looks like. We are pretty comfortable with that, we are pretty comfortable that we have got one of the lowest cost production fleets in the area. We do know that others use eastern coal we do not know what happens to those prices. So when we just look at what's going on in the market prices, whether that's in spot price or in the forward price. We see those prices going up and that sort of widens the spread available to us given our relatively fixed cost structure. Yeah and if you just allow for the forward market if you look at you know for only our guidance for off peak was 33 to $34 and forwards right now for calendar '09 are in the 42 $43 range. So you are seeing a pretty significant move up in off peak pricing across the region.
Andrew Smith: Okay that's helpful and then we look at the plant outages following up on Brian's comments about thinking about what the year sort of normalized might have been, you mentioned the 90% end market availability target, you had 80 to 82 in the first quarter. Is the way to think about the volume lost in the first quarter to assume 90% was the target in the first quarter as well or was just an outage activity in the first quarter that would shape that down when we try to figure out the volume lost for the outages?
Bruce A. Williamson: 90% is usually the in market availability target. So yes, that's probably not directionally a bad way to do it and you going to have less run time on that 90% then you would in the summer time and we had... the team has had kind of some bumpy first quarters before and we have come back like in the third quarter last year I think was the best one we had where we hit 94%. So we are not dropping the end market availability target for the year as Holli said in her comments we still think we can hit that and we had a very good run here, very good track record and I think Rich and Keith and the team in the Midwest, I think they are probably one of or they are the best operators of coal plants in the country and some times we have some things that don't co-operate, when you have a cooling tower like we had an issue at and it had its issue in terms of a little bit of structure I would say more than a little bit little bit of structural issue on a day when it was let -10 or 15 [indiscernible] that factored into it in terms of the very cold weather and then the rotor that needed to be worked on without one of the units that had just absolutely stellar performance for a long, long time so we don't want to take chances and run things when we are hearing bad alarms and things like that and so you would want to bring me unit down quickly and go through it and not risk further damage. So, we will work hard and focus on operations and we still think 90% is good number for the year.
Andrew Smith: Great. And then there is last two detailed questions around that, one is should we just think about on those outages, should we just think about loss margin opportunity from the standpoint that they are sold unit contingent or should we think about replacement power cost as it being as well and then was there any significant O&M cost incurred with the outages?
Unidentified Company Representative: Yes, there was no replacement cost or anything that we incurred relative to this. It was all just lost opportunity.
Andrew Smith: Okay.
Unidentified Company Representative: The O&M cost were relatively modest so there is... that's not something that you will probably even see in terms of our overall O&M program. A little bit of capital dollar got shifted around a lot of time, so really the major impact is just the lost opportunity cost.
Unidentified Company Representative: Yeah, and this is Andy, just in terms of very detail for you, I mean, when one mentions the capital being shifted because what happens is when the units... when these two in particular have their issues you ended up in the case of the cooling tower, redoing the cooling tower which otherwise may not have been scheduled for this year and next year. So late '08 and '09 instead it is now got done in the first quarter of '08.
Andrew Smith: Got it. Okay.
Unidentified Company Representative: In some ways you could argue, it is not incremental CapEx its just CapEx that took place in '08 now rather than later in '08 or in '09 or 2010. We obviously would rather do it on a planned basis, in a clear shoulder period rather than in the tail end of the first quarter or some thing like that.
Andrew Smith: Sure. Okay, well I appreciate the call guys.
Unidentified Company Representative: Okay.
Operator: John Kiani with Deutsche Bank your line is open.
John Kiani: Okay. Good morning. Aside from the heat rate advantage, why do you think Calpine continues to trade at such a substantial premium to the implied value of your gas fired portfolio? And I guess along those same lines, is there anything you would consider as that discrepancy or that disconnect doesn't close in the marketplace to help highlight the value like a JV or a minority interest sale in a portion of the portfolio or something to highlight the value?
Bruce A. Williamson: Well John, we think you know that we have created a portfolio when we made the acquisition a year ago that added a 100% gas fired set of assets into the portfolio diversified out of being in many ways almost a pure Midwest coal fired generation plan. We did have some from Northeast, but I mean that was really the core earnings of the company. And now we will diversify it back out into natural gas which I think is going to become more and more important. We are seeing that in rising asset values, we are seeing that as well in the diversity that we added by getting into a larger position in the Northeast,... highlighted some potential upside there in the Northeast if weather happens as well as out in California. So adding diversity and adding those gas fired megawatts to diversify out of the way from being that pure Midwest coal fleet was a very conscious decision and we think investors hopefully will look at that and understand the value of diversity as a way to diversify risk and obtain reward as well as looking at that as a company. As far as their valuations, I am not going to comment on other companies valuations and multiples and things like that. We want investors to focus on understanding us and the core earning potential that's here and our commercial strategy in the clean liquid and flexible balance sheet that we created, the team Chuck and his team created maybe right almost on a year ago this week. And all of those things that we think generate a lot of value for investors.
John Kiani: Okay and as far as your sensitivities are concerned, I didn't see an update in the presentation on your gas and heat rate sensitivity but if I look at the I think the December guidance presentation it looks like a $2 change in natural gas prices drives an incremental $320 million of EBITDA on a long term uncontracted basis and a half of turn decline in heat rate is little over $100 million decline combined between your base load coal and also some natural gas fired assets on a un-contracted basis. As we looked out into '09, how should we think about the uplift from '08 to 09, I realized you haven't provided a guidance but I am trying to get a better sense based on the sensitivities that you have provided?
Bruce A. Williamson: Well we think the good method that we have provided to people is we talked in our December call about over the next several years as the markets recover and for us that means both the heat rate tightening as well as supply demand and energy prices we didn't factor in $10 gas and things like that obviously. So setting that aside for a minute but just in terms of the market recovery of supply and demand, we felt good about talking to all of you about it and averaging about a 15% growth. We feel very good about that still and if with the increase in oil now flowing to gas, flowing to coal, and how that will move on into... in our opinion moving into power. I think we should feel, continue to feel very strong about the 15% is going to be a good long term growth rate through these markets. We never said it going to be 15.0 with 15.0. It is going to be lumpy and there is going to be times that you are all going to get to enjoy over shooting it and there maybe sometimes that you come in a little bit under that. But right now the market trends for both the energy price as well as the tightening of supply and demand, looks like they are definitely moving in the direction that we have been telling you all for sometime.
John Kiani: Thanks Bruce.
Bruce A. Williamson: Okay, we have time for one more I understand.
Operator: Yes, our last question comes from Brian Russo of Ladenburg Thalmann. Your line is open.
Brian Russo: Good morning.
Bruce A. Williamson: Good morning.
Brian Russo: Could you maybe quantify the positive and negative drivers in your EBITDA guidance meaning how much margin was derived from the hedges at higher prices versus how much margins or opportunity cost was lost on the unplanned outage.
Bruce A. Williamson: We kind of just little bit went through that on one of those... couple back. We haven't really tried to break that out obviously. In the first quarter I don't know the way to really triangulate on that, because the outage as Lynn said is really an opportunity cost so you look at where market prices could have been or would have been during the week or two or so of the outage. The hedges, are you talking for the quarter or the year. Again I don't know where power prices are going to be for the second third and fourth quarter and we have the current forwards and we have the mark and accountants that mark the positions and so that's reflected in details in the back. I guess those are the two main things and then we have, as Lynn said, when we have these outages, probably little bit of some increased cost that occurs or shifting forward and some at that is going to be reflected in the first quarter. And so I am not trying to divest your question but I don't know that I have really got at a level detail to really purse it down at that time. I think the key take away for people is the end market availability was down in the first quarter because of a couple of we think aberrant occurrences but we come back and say we are going to stand on that 90% in market availabilities overall for the year and we feel good about our commercial strategy given the rise in power prices and tightening of supply and demand.
Brian Russo: Okay thanks and I noticed on slide 32 the development summary, there is no mention of the Georgia based plant, just wondering if there is any update there?
Bruce A. Williamson: No, not really. I don't think there is any significant development. The main trend I think that I would want investors to take away on the development side is we do have a development option that we acquired at well last year. But as developments in the country slows down and it is definitely slowing down by all of those reasons that I mentioned on one of my slide about the difficulties of siding and permitting as well as the competition for turbine and in generators and equipments and all of that around the world as well as the capital markets. I think we are going to see that second trend to go with rising oil and gas prices in the country. We are going to see sort of just a slowing of development in the country and that's going to contribute to that tightening of supply and demand and investors in Dynegy should be in some ways actually happy about that because it means that the value of the incumbent operating assets around the ground are just going to be rising because they are going to become and continue to be very critical but they are going to become more and more profitable going forward.
Brian Russo: Okay, that's helpful and on slide 22, the spark spread analysis, if you were to do that analysis based on say, yesterday's pricing would the spark spreads in the June, July, and August be higher than what's illustrated as of April, early April '08.
Bruce A. Williamson: Yes, we are showing that as of April 14th which we brought it forward three more weeks.
Bruce A. Williamson: They would be somewhat higher.
Brian Russo: Alright, thanks a lot.
Unidentified Company Representative: Okay.
Bruce A. Williamson: Thank you all for joining us this morning. We have several investor conferences coming up. Deutsche Bank as well as RBC and we look forward to seeing many of you at those conferences. Thank you.
Operator: Thank you for participating in today's conference, you may disconnect at this time.